Operator: Good day, everyone, and welcome to the Anixter International's Fourth Quarter 2012 Earnings Conference Call. Today's call is being recorded. And now, your host for today's call, Ms. Lisa Meers. Ms. Meers, please go ahead now.
Lisa Meers: Okay, thank you, Rufus. Good morning, everybody, and thank you for joining us for Anixter's fourth quarter 2012 earnings conference call. Today I'm joined by Bob Eck, President and CEO; and Ted Dosch, EVP and CFO, to discuss our fourth quarter financial results. After the remarks, we will open the line up to take your questions. Before we begin, I want to remind everyone that we will be making forward-looking statements in this presentation, which are subject to a number of factors that could cause Anixter's actual results to differ materially from what is indicated here. We do not undertake to update these statements and refer you to our SEC filings for more information. In conjunction with today's earnings announcement, please find the supplemental slide deck that can be accessed on the Investor Relations portion of our website at www.anixter.com/investor that will further detail the quarter. Today's earnings announcement includes both GAAP and non-GAAP financial results, the reconciliation of which is further detailed in both our earnings release and in the aforementioned slides posted on our website. Now I'll turn the call over to Bob.
Robert J. Eck: Good morning, and thank you for joining us for a review of our fourth quarter 2012 operating and financial results. Today I will offer my perspective on our business and the current operating environment, update you on each of our reporting segments and discuss why we believe are well positioned to continue to grow and gain share in each of our end markets. Then I will turn the call to Ted to detail our financial performance and frame how we are looking at 2013, after which we will take your questions. As you all know, from a macro perspective, this was a difficult quarter to cap a difficult year. While we were not surprised by the ongoing weakness in Europe, we had expected more of a lift from the U.S. Latin America, which was strong for the first half of the year, slowed in Q4. Notwithstanding the broader challenges, our team executed well to once again deliver greater value to both our customers and our shareholders, and we'll continue to progress against our core strategies throughout the year. In addition to achieving record annual and fourth quarter sales, other highlights of the year included the midyear acquisition of Jorvex, the Peruvian wire & cable distributor, which is tracking well, and added $31 million in sales in the fourth quarter and $63 million for the year. Our venture in Saudi Arabia, which is tracking ahead of our expectations, importantly this project illustrates our global capabilities that differentiate us from our key competitors and highlights the success and importance of our targeted EMEA strategy. We continue to grow in supply chain solutions with expanded capabilities and penetration. We also rolled out our digital marketing initiative, which is still in its early stages but is already delivering results. We delivered solid financial results in the quarter and the year. A hallmark of our model is the cash we generate throughout the cycle, including in less robust economies. In fiscal 2012, we generated $142 million in cash flow, which, along with our strong balance sheet position, allowed us to fund the Jorvex acquisition, fund the contribution to our pension plan that lowers our long-term pension obligations and return $210 million to shareholders through a combination of share repurchases and special dividends. Finally, as Ted will go through in more detail, we took aggressive actions in the quarter as well as throughout the year to restructure our business to align the cost structure with our current views on the markets in which we operate. With these actions, we reduced our 2 largest areas of operating expense: personnel and facility costs. These actions position us well for 2013 and beyond. Looking more specifically at the fourth quarter, many of the trends we experienced in the third quarter continued through year end. We were pleased to deliver record sales of $1.54 billion in spite of the fourth quarter sales growth being at the low end of the what we expected coming into the quarter. Our exposure to broadly diversified industries provided us with some pockets of strength. And in the fourth quarter, much as last quarter, actual resource extraction and power generation were key drivers of our sales. Driven by those verticals, our Wire & Cable segment achieved a record fourth quarter. We also achieved a significant milestone in our Security business, exceeding $1 billion in annual sales for the first time. Turning to our segments, recall that in December of 2012, we announced a change in our reporting segments from geographic regions to end markets. We will continue to provide color but not detailed financial results on our geographies. With that, let me offer my perspective on both our successes and challenges in the quarter as it relates to each of our segments. Please keep in mind that the fourth quarter is typically seasonally weaker than our third quarter due to the impact of holidays and our billing days. Sequentially, the fourth quarter declined by 4%, which is slightly above the 3% decline that we typically experience and is likely the result of ongoing uncertainty that characterized the fourth quarter economic environment. Looking more closely at our end markets, our fourth quarter ECS sales of over $800 million, accounting for 52% of total sales, declined 1% year-over-year, reflecting a continuation of the softer trends in the data center market. As we have noted in each of our 2012 earnings calls, we believe that the overall data infrastructure market in North America declined in each of the first 3 quarters in the high single to low double-digit range. We believe that this trend continued through the fourth quarter. It is our view that we gained share in our addressable data infrastructure market in both the fourth quarter and the full year. Given the pent-up demand that we believe exist, this market should strengthen in 2013, more noticeably in the back half of the year. While the data center market is more difficult to track in EMEA, the recessionary pressure in Europe is causing the market to decline there as well. In the emerging markets, the story was mixed. Our business in Asia, which is still dependent on IT spending by Western multinational companies, performed well in the quarter, while Latin America slowed, impacted by declines in both Brazil and the Southern Cone, only partially offset by growth in Mexico. On a more positive front, our ECS segment continued to benefit from strong global trends in Security, growing by 12% in the quarter and accounting for 28% of segment sales. For the full year, Security Solutions sales increased by over 9%. Looking ahead, we have multiple growth initiatives in place that are key to the success of our ECS business including supply chain solutions, security, multi-tenant data centers and in-building wireless. Moving to the Electrical and Electronic Wire & Cable segment, our fourth quarter sales of $544 million represented 35% of total sales. Our strength in Wire & Cable was global with organic growth across nearly all geographies, led by 43% organic growth in emerging markets, record sales in Canada and continued strength in the U.S. We continued to experience solid project activity in the power generation, oil and gas and mining sectors. Ongoing global infrastructure investment in each of these areas sets up well for continued sales growth in our Wire & Cable segment. Our initiative to expand into industrial automation continued to build momentum with additional products and an expanded vendor base. We'll expand our focus beyond North America into other geographies in 2013. Organic investments and geographic expansion on secular trends and based on demand we see from customers, we expect our Wire & Cable segment to continue to perform well in 2013. Turning to OEM Supply, our fourth quarter sales declined by 12%, reflecting production cuts by many of our large OEM Supply customers. These reductions were primarily driven by weaker demand for our customers' products, with our experiencing consistent with the widely reported industrial production statistics and EMI [ph] data in the U.S. and Europe. In the U.S., we continued to be impacted by the heavy truck industry, which had a soft second half. We expect this business to pick up in the second half of 2013, ahead of vehicle emission standards changes which are set to be implemented in 2014. Our EMEA OEM Supply business had a similar decline in sales, reflecting the broader and more persistent weakness in the European region. Looking at our OEM Supply trends for the year, the fourth quarter was similar to the third quarter with a decline from the first half trends that began in May and lasted through the balance of the year. We believe we held our position in the market, and we have an attractive pipeline of new business opportunities that we believe set us up well for 2013. Also, as you know, the first half of 2012 was stronger than the second half, which will lead to tougher comparisons in the first half of 2013. Finally, Ted will explain the additional noncash impairment charge that was triggered by our change in segment reporting. Let me turn now to a discussion of gross margin, which was 22.2% in the quarter, 22.5% for the year. The lower margin in the fourth quarter versus a year ago was driven by a couple of dynamics. Our Wire & Cable segment had the biggest impact on our total gross margin with 2 major drivers. The biggest driver was a product mix shift from the OEM vertical to the industrial business. We did not lose customers or share in the higher-margin OEM side of our business but experienced a mix shift, reflecting production declines at our OEM customers. Secondly, within our U.S. and Canada industrial vertical, in addition to strong day-to-day business, we saw a doubling in the number of projects. Similarly, we achieved sizable growth in large projects in Latin America and EMEA. While this mix shift was dilutive to margins in the quarter, we see this as an important opportunity to drive margins going forward as we increase the supply chain solutions we can offer in our project business. On the ECS side, gross margin was impacted by mix and Security was a bigger piece of the total business. Looking ahead, we have a strong focus on margin improvement with specific actions in each of our 3 segments. In addition, we believe that as the economy improves, a better mix in both Wire & Cable and ECS will also help drive stronger margin performance. Finally, with the changes we have implemented in our OEM Supply segment, we believe we are well positioned for profitable growth. Apart from the underlying dynamics of each segment, we believe our differentiated platform positions us well to drive margin expansion going forward. Companies are under pressure to take costs out of their supply chain, minimize inventory on hand, manage complex projects and manufacturing environments, all while operating within an increasingly global footprint. Our value proposition is based largely on 3 capabilities, which together take risk and cost out of our customers' business: first, our global capabilities with consistent operational discipline, quality and ability to work face-to-face with customers across multiple geographies and transact business in local currency and language; second, our technical value add, which entails providing product recommendations, developing solutions for specific applications and managing quality control; third, our supply chain solutions will -- which help customers manage their costs, reduce headcount, reduce working capital and take risk out of their business. Now let me turn the call to Ted for a detailed analysis of our results.
Theodore A. Dosch: Thanks, Bob, and good morning, everyone. Before detailing our quarterly results, I want to first discuss the $47 million charges, or $1.16 per diluted share, of impairment, pension and restructuring charges that we recorded in the fourth quarter. As you will remember, we announced in December a change in our reportable segments. As a result of that change, we were required to reassign the carrying amount of goodwill to our new reporting units, which are the same as the realigned reportable segments of ECS, Wire & Cable and OEM Supply. An interim assessment of the recoverability of goodwill and an assessment of the recoverability of the company's long-lived assets assigned to those reporting units concluded that the estimated fair value of the OEM Supply business was lower than the carrying value of the net assets. Weak global economic conditions have disproportionately impacted this segment and resulted in a total impairment charge of $21.3 million. In the fourth quarter of 2012, the company offered a onetime, lump sum payment option to terminated vested participants, resulting in $34 million of additional contributions by the company to the plan in order to fund the lump sum payment. This action triggered a settlement charge of $15.3 million in the fourth quarter. The additional contributions were made to the plan using excess cash from operations so that the plan assets were not impacted, positively influencing the funded status of the plan. In addition, the company made changes to its U.S. defined benefit pension plan that will reduce future expenses and contributions. This change did not trigger any special charges. Finally, recognizing the ongoing weak global economic conditions, we took further aggressive actions to lean out our cost structure across all segments and geographies, resulting in a $10.1 million charge in the fourth quarter of 2012. We expect to realize benefits from these cost management actions immediately, which we estimate will yield approximately $20 million in annual cost savings. Now I will turn to our operating results for the quarter. All of my comments pertain to results from continuing operations. As Bob discussed, we reported total fourth quarter sales of $1.54 billion, up 3% compared to a year ago. After adjusting for the positive impacts of the Jorvex acquisition, foreign exchange and copper, organic sales increased by 0.1%. Before adjusting for the impairment, pension and restructuring charges that I just explained, we reported operating income of $39 million, net income of $5.2 million and diluted earnings per share of $0.16. As I go through the remaining financial details, please note that all of my comments will be referencing our results adjusted for the impairment, pension and restructuring charges in order to provide you with the best insights on the underlying trends in the business. Excluding those 3 charges, we reported the following results compared to the prior year period: adjusted operating income of $85 million compared to $92 million; adjusted net income of $44 million compared to $48 million; and adjusted diluted earnings per share of $1.32 compared to $1.43. Both this year's and the prior year's fourth quarter had 62 billing days, although the timing of Christmas holiday effectively resulted in 1 less day, which equates to approximately 1.5% of sales. The fourth quarter operating expense is flat versus the year-ago quarter. Expenses were 16.7% of sales, an improvement of 50 basis points. Excluding the Jorvex acquisition, our headcount was down 1% year-over-year with a full year 2.4% organic sales growth. We constantly balance short-term and long-term priorities, and we feel very good overall about our cost management, especially in light of higher expenses related to pension costs in the U.S. and higher IT expense due to strategic project spending and investments in our new digital marketing platform. Company-wide adjusted operating margin of 5.5% declined by 40 basis points sequentially and 60 basis points from the year-ago quarter. Approximately half of the downward pressure on gross margin was mitigated by operating expense leverage. Looking at our operative margins by segment, adjusted EPS operating margin of 5.5% compared to 5.6% in the previous quarter and 6% in the year-ago quarter. We believe that the delays we have seen from our customers have resulted in a temporary slowdown in the data center market. We have also experienced some pricing pressure on our U.S. business, which we believe is a natural consequence of the decline. The persistent weakness in the European economy and mix shift as security becomes a greater portion of the ECS business were additional drivers of the margin decline against both prior periods. Wire & Cable adjusted operating margin of 8% in the current quarter compared to 8.5% in the previous quarter and 8.6% in the year-ago quarter, reflecting a product mix shift from OEM to industrial, as Bob detailed in his comments. Finally, OEM Supply reported an adjusted operating loss of $2.7 million on sales of $200 million. The weakness in this business was a result of our exposure to the heavy truck market in the U.S. as well as our significant exposure across various manufacturing segments in Europe. Recall that the EMEA region accounts for nearly 50% of our OEM Supply business. As we move further down the income statement, interest expense of $16.2 million was up from $12 million in the year-ago quarter. The increase of $4.2 million was driven by an incremental $4.8 million of interest related to the $350 million senior notes offering completed in April of 2012. Recall that we issued these notes in anticipation of the February 2013 convertible notes redemption. Foreign exchange and other expense in the current quarter of $1.8 million decreased by $600,000 from the year-ago quarter, primarily due to foreign exchange gains. The adjusted tax rate in the current quarter of 35.5% and full year rate of 36.5% declined from the prior year quarter of 38% and the prior full year of 37.4% due to the mix of earnings between countries. We generated $16 million of cash from operations during the quarter compared to $113 million in the year-ago quarter. This lower cash flow in the current quarter is primarily attributable to the cash impact of $34 million to fund our initial pension contribution and overall working capital performance. Working capital levels stood at 24% of sales at the end of the fourth quarter compared to 23.6% at the end of the previous quarter with a sequential decline in sales resulting in slightly higher inventory levels at year end. Capital expenditures were $7.7 million in the fourth quarter compared to $6.6 million in the year-ago quarter. At the end of the fourth quarter, our debt-to-total capital ratio of 50% compared to 45% at the end of 2011, and our weighted average cost of borrowed capital was 6.3% compared to 5.1% in the prior-year quarter. This leverage ratio is slightly above our long-range target of 45% to 50% debt-to-capital. We expect to return to our target range upon redemption of our convertible note that matures in February of 2013. Currently, our liquidity position remains excellent with $422 million of availability under revolving credit lines and $82 million of outstanding borrowings under our $300 million accounts receivable securitization facility resulting in $614 million of available liquidity at the end of the fourth quarter. Looking at our capital priorities, we have a disciplined approach to how we allocate capital, including supporting organic growth in the business, pursuing strategic and financially attractive acquisitions, maintaining a strong balance sheet to provide the financial flexibility, especially in environments where -- when market dynamics can shift quickly, and opportunistically returning cash to shareholders. Consistent with our approach of returning cash to shareholders through a combination of special dividends and share repurchases, we returned $200 million in -- $210 million in value to shareholders this year, including the $4.50 per share special dividend that we paid on May 31 and the 1 million-share buyback program announced in the third quarter that we completed in the first week of October. Now looking ahead to 2013. When we look at the fourth quarter and our sales -- with sales growth that was lower than any of the recent quarters, it therefore impacted our ability to generate the level of operating leverage that we have consistently reported in recent years. However, we believe we are well positioned to leverage our existing cost structure as economic conditions improve over the course of this year. Our current expectations, based on the demand that we see along with our internal forecast, are for low to mid-single-digit organic revenue growth for the first half of the year, improving to mid-single-digit growth in the second half, which we believe should drive mid- to high single-digit incremental operating profit leverage. Similarly to what happened in the fourth quarter, the first quarter had the same number of billing days as the prior year first quarter. However, the timing of the New Year's Day holiday effectively caused us to lose an additional day of sales on December 31. Aggressive actions taken in 2012 to manage our cost structure in a very disciplined way will drive approximately $20 million of annual savings as a result of our pension and restructuring decisions. Annual interest expense will decline by approximately $10 million in 2013 due to the February 15, 2013 maturity of our 1% convertible notes, which we prefunded with the 2012 notes offering. Finally, we expect our average diluted share count to be lower in 2013 based on the 1 million shares repurchased in 2012 and the redemption of the 2013 convertible notes. The full year share count is expected to be approximately 33 million shares. Coming off a year where we faced ongoing uncertainty from the global macro environment, we anticipate that some of the headwinds of 2012, most specifically the delays in Enterprise spending and the investment in growth of our Wire & Cable business, may become tailwinds in 2013. Let me conclude by emphasizing that we believe the long-term secular drivers of each of our 3 end market businesses remain strong and that the challenges we face are more related to timing and the broader economy than any structural change in the markets we serve. Ultimately, we offer compelling value proposition to our customers with truly global offerings, including highly customized solutions and a technical sales team we believe is unequaled in the market, enabling us to bring solutions to our customers that reduce complexity, risk and, ultimately, total cost associated with their supply chain. We have in place the right platform for global growth and remain confident in our strategy to gain market share to extend our products and service offerings and to expand our end market and global presence. Finally, we firmly believe that many opportunities exist around the world and that our unmatched global distribution network, our broad exposure to diverse end market and customer verticals, combined with our value-added business model, position us well to support our customers and increase sales and profits in the months and years ahead. We will now open the call for questions.
Operator: [Operator Instructions] And for our first question, we go to David Manthey with Robert W. Baird.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: The first question is, on the Enterprise Cabling business, you've made a really nice shift over to Security. I'm wondering, in the pure kind of premise cabling business outside of Security and outside of the data center, do you think there's been a secular change in that industry overall, just in the enterprise-level desire to upgrade or change corporate networks?
Robert J. Eck: Yes, Dave, that's a good question. Actually, I think, kind of like I said last quarter, I think the bigger issue right now is a kind of stalled position of the non-res construction market and the, I think, stalled capital spending in IT, which is causing people to stay in the current space they're in, not upgrade if there's not a compelling reason to upgrade. And then the lack of new construction, which is holding back the horizontal land piece of that market, which I think is what you're really talking about. I think it's -- it used to be, when you go back into the '90s and the early part of the 2000s, we could expect an upgrade cycle that was delivered or was driven around network switch generation. So we went from 10-meg shared to switch to 100-meg shared to switch, to gigabit and so on. And that tended to drive fairly regular upgrades to the cable plan. For most of our big customers today, the cable plan is already in the horizontal in a fairly high level of performance. There's not been a lot of compelling application drivers to significantly upgrade the LAN switch speed. So we've had kind of a stall in that upgrade cycle thing we used to see in the '90s and 2000s. And that's why I think you see if non-res construction slowed down, there's not quite as much churn. And we aren't kind of seeing the reset in buildings we used to see. And that accounts, along with the slower IT capital spending, for the -- this kind of flat position we find ourselves in for the premises LAN.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Okay, that's very helpful. And I just -- I'd like to understand the number of days here. And most industrial distributors are talking about slowing near the end of the year, and I guess that probably was focused on your OEM and your Wire & Cable businesses. But could you just remind us the actual number of selling days in the fourth quarter? You had was what? It was 62, and you're saying you lost 1.5 because of the timing of the holidays, is that correct?
Theodore A. Dosch: Yes, you're right, 62 kind of official billing days. But my comment about losing the equivalent of 1 day, which equates to about 1.5% of sales, really goes back to the timing of where Christmas fell. You remember, last year, Christmas and Christmas Eve were both on a weekend in 2011. And in 2012, with Christmas falling on a Tuesday, even though Christmas Eve, Monday, wasn't a holiday, it was pretty much a non-day from a sales and billing perspective. So official billing days were the same in Q4 '11 and '12 at 62. But we believe, effectively, it was 1 less day in 2012.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Right, right.
Robert J. Eck: And I think, Dave, to just carry on a little further, we think that same trend or that same situation existed in January this year because, again, New Year's was a Sunday and, well, it's a Tuesday in '13.
David J. Manthey - Robert W. Baird & Co. Incorporated, Research Division: Right, okay. And then just to recap the number of days in the first quarter, it was 64 this first quarter versus 64 a year ago, officially?
Robert J. Eck: Correct. Yes, yes. And Dave, as Bob just said, official billing days would be the same Q1 ' 12 to Q1 '13. But effectively, we'll have about 1 less billing day in Q1 of this year because of the way the date fell.
Operator: And for our next question, we go to Shawn Harrison with Longbow Research.
Shawn M. Harrison - Longbow Research LLC: I guess a 2-part question on gross margins. First, just if you could break out the $20 million of savings. How much of that is SG&A versus gross margin? And then longer term, I guess, as we see the mix shift in the business, I guess, probably continue within Security and maybe not rebound and others maybe so, where you think gross margin peaks out at again.
Robert J. Eck: Okay, I don't know that I'm going to call out a projected gross margin peak, but let me first address the first part of your question, which was how much of the $20 million is in gross margin and how much is in operating expense. None of the $20 million is gross margin. It's all operating expense. So that's the first part. So the $20 million is going to make its way through to the bottom line regardless of what happens with margin. So in margins, the mix shift that we experienced in Wire & Cable was the more dominant mix shift or the more dominant effect on gross margin. And that mix shift, we expect to shift back towards OEM as the manufacturing environment accelerates, particularly in the U.S., which is where the dominant amount of our OEM presence is. In the Enterprise business, the mix between Security and sort of traditional data infrastructure business I think will shift in the second half of the year as we see some acceleration in data centers. And the reason we feel that, that's going to happen is that if I go back and look at the prior 2 recessions, I look at the kind of '08, '09 and we look back at '01, '02, we never went a period of more than 6 quarters of flat to down sales in our data infrastructure business. When we get to the end of June, if we have not seen an acceleration in the first 2 quarters of this year, we'll be 7 quarters in because if you recall, that business slowed first in the fourth quarter of '11. So we -- that's why we feel there's pent-up demand in the Enterprise business that we're going to see start to kick in, in the second half of 2013, and I think that moves the mix back to a more historical mix, which will benefit the gross margin in that business as well.
Shawn M. Harrison - Longbow Research LLC: And that type of dynamic is included within that leverage you'd expect for the year. So the leverage may be more back-half weighted in terms of the operating profit?
Theodore A. Dosch: That's correct, Shawn.
Shawn M. Harrison - Longbow Research LLC: Okay. And then I guess a quick follow-up and one question pertaining to the earlier question just on the horizontal aspect of Enterprise. Are you seeing, I guess, with -- a disconnect now between the ABI index and potentially your Enterprise business just because of the slower upgrade cycles? And then the brief follow-up was just kind of expected tax rate for the year.
Robert J. Eck: No, I think the ABI index and the upgrade cycles are 2 different things. The upgrade cycles are driven by a decision in an IT organization to enhance the performance of their networks. ABI is driven by people building new buildings and remodeling buildings.
Shawn M. Harrison - Longbow Research LLC: Yes, I'm sorry. I misstated the question. I guess to an extent, with the -- maybe it's a 2-part question, but the ABI Index coming back, is there any disconnect that you're seeing in terms of that recovery in the non-res side? And then just in terms of Enterprise upgrades, do you -- will you see people in terms of, I guess, as they add to the buildings, do they need to kind of go to the highest-level cabling given that we haven't seen a big jump in switch technology?
Robert J. Eck: I think what happens when people building new buildings is they tend to go to higher-performing products because they expect the products to live in the walls for a long time. So they want to be, if you will, hedged against a future technology that would cause, if they bought the lowest-performing cable, to not support their applications. So I think if you look at the ABI Index improving, if that works its way through into non-res construction on a lag effect, eventually, that will play into more horizontal LAN infrastructure.
Shawn M. Harrison - Longbow Research LLC: Okay, and [indiscernible].
Theodore A. Dosch: [indiscernible]
Shawn M. Harrison - Longbow Research LLC: I'm sorry. Ted?
Theodore A. Dosch: I'm sorry. I was going to answer the other part of your question on tax rate. I think the best assumption to go forward would be assume a rate similar to our full year 2012. So somewhere in the 36.5% to 37% would be a good estimate.
Shawn M. Harrison - Longbow Research LLC: Okay. And Bob, just it's typically a 6-month lag for you with the ABI before you may see some benefit to your business, is that correct?
Robert J. Eck: I would say at least.
Operator: [Operator Instructions] And we go next to Tony Kure with KeyBanc.
Anthony C. Kure - KeyBanc Capital Markets Inc., Research Division: Just wanted to -- with the new segments, I was hoping you can maybe help provide some color on the degrees of operating leverage. Obviously, you gave the full year expectation. And with the new reporting structure, could you maybe gauge for us and provide some color around the -- who would be at the high end and who would be at the low end of the range? You could probably figure it out, but I just want some color on that.
Theodore A. Dosch: Tony, let me try to answer it this way and tie it into our comments on the $20 million of savings from the pension and restructuring actions because that, as you might imagine, will be the big driver, biggest driver, as we improve operating earnings across those segments. So just to give you a little bit of a sense, within that $20 million, we don't anticipate each quarter detailing out specific numbers by segment, et cetera, as these projects track going forward. But I can give you a sense that about 1/3 of the savings is really pension related, and that will hit all 3 of the businesses pretty much proportional to their size. The other 2/3 is restructuring, and as you might expect, about 60% of that savings will flow through to fasteners. For all the reasons we've talked about, both the fact that the current level of profitability in the OEM Supply business, combined with the fact that a large percentage of that business is in Europe, I think that's where you would expect us to be most intensely focused on improving our cost structure. So that 60% of the restructuring portion is attributable to fasteners. The other 40% is probably split pretty evenly between the 2 cabling businesses. Now that, in conjunction with the current level of performance of these businesses, if we have recovery in manufacturing overall to drive volume improvement in fasteners, they certainly -- that segment has the capability to drive the highest operating leverage. But that's more dependent upon the macro economics of overall manufacturing levels.
Anthony C. Kure - KeyBanc Capital Markets Inc., Research Division: Okay, and that would leave the other 2 segments, Enterprise and Electrical Electronic being similar as far as operating leverage potential?
Theodore A. Dosch: Yes, yes.
Anthony C. Kure - KeyBanc Capital Markets Inc., Research Division: Okay. And then to sort of a same type question, again with the new segments, with the backdrop being your mid- to high single-digit organic growth, and you talked about the cadence, which was helpful, but where would you gauge as far as who would be at the high end or low end of that range on the organic growth side of the equation?
Robert J. Eck: I think that's a little bit of a crapshoot, but my bet would be that the Electrical and Electronic Wire & Cable will be at the high end of that growth range, and Enterprise and OEM Supply will both be more at the lower end of that range.
Operator: And for our next question, we go to Brent Rakers with Wunderlich Securities.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Ted, I think you talked about -- when you were going over the 2013 outlook, you gave some organic targets for first and second half. And then I think I missed the comments you were making about incrementals. Could you maybe refresh on that and maybe talk about how that would look first half versus second half?
Theodore A. Dosch: Yes, I believe what I said, looking at 2013, was that we would expect the first half of the year to improve low to mid-single-digit organic revenue growth with the -- improving to a mid-single-digit growth in the back half. And combined, that should drive mid- to high single-digit incremental operating profit leverage.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Ted, as clarification to that, does that include the $20 million savings target from the announcements in Q4 of this year?
Theodore A. Dosch: No, that should be incremental to what we would consider normal operating profit leverage.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Great, okay. And then just to clarify as well regarding the SG&A rate in the reported fourth quarter here, was there any savings attached to this occurring -- or benefiting this Q4 operating cost number?
Theodore A. Dosch: Very minimal. So when we say we should get -- begin to realize this $20 million savings immediately, we'll get a little bit less than a full quarter's worth in Q1. But by Q2, we should be ramping up pretty much to a full quarter of that annualized number.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Okay. And then just a last question. On the OEM Supply business, again kind of tying to the new segment disclosures as well, when you go back and kind of compute where the OEM Supply revenue stream was, even if you just focus on North America call it 3, 4 years ago at the peak of the last cycle, it was -- gosh, it was probably 40%, 50% higher. Could you maybe walk through some of the disconnects? I know the economy's weaker and I know the heavy truck. Can you speak if there -- have there been any contract losses or anything else to factor into that revenue decline?
Theodore A. Dosch: Yes, I think what -- just to clarify one thing, Brent, on the front end, our -- what you might be remembering when you say 30% or 40% higher was when we used to include the Aerospace business in that OEM Supply. Yes, so if you take out that $0.25 billion sales, our peak revenue in this segment -- and I'm going from memory here -- is somewhere between $1 billion and $1.1 billion. So we're not that far, anywhere near the 30% or 40% below that peak revenue number. I mean, we can -- we have those restated numbers out on our website, which show that back historically, excluding Aerospace. So the second part there, though, is yes, we do have a higher mix in North America of the heavy truck customer vertical than we do in Europe. So across North America, our performance -- our revenue decline year-over-year has been almost entirely due to the performance of heavy truck and the rest of the businesses that we serve being pretty flat to slightly up. In Europe, we do have some heavy truck but not nearly as high of a content there. But the decline there has been spread pretty much across all industries just based on the more -- the macro performance of the European economy.
Robert J. Eck: Yes. Brent, to your question about whether we've lost any big contracts, the answer is no. I think I said in my comments that we feel like we've held our own in this market in spite of the decline in sales. And that is the case, that the decline in sales is just production rates at existing customers. We haven't lost any major accounts. We haven't lost any major contracts. We actually had some wins in the fourth quarter that we'll implement over the course of '13. So I'm not concerned that sort of the underlying base of that business has gotten weaker.
Brent D. Rakers - Wunderlich Securities Inc., Research Division: Can you give us a sense? I mean, we've talked about heavy truck now for a couple quarters. Can you give us a sense for, at least within the North American business, what part of your revenue stream in OEM Supply that niche represents?
Robert J. Eck: Roughly 40-ish percent is heavy truck related, and that's between heavy truck manufacturers and people who supply components into heavy trucks.
Operator: We go next to Ted Wheeler with Buckingham Research.
Ted Wheeler: A couple just sort of follow-ups on comments you've already made. At one point, Ted, I think you said the restructuring might account for the bulk of operating improvement, and yet we're -- maybe I've misheard that because if we're looking at mid- to -- low to mid-single-digit revenue growth and some incrementals, fewer shares, I guess I get a pretty good improvement before you incorporate the restructuring. I hope I'm clear on my question. I -- and maybe...
Theodore A. Dosch: Yes, Ted, let's -- let me clarify if I wasn't clear the first time. The numbers that I was speaking to, as far as 2013 outlook, with kind of mid-single-digit revenue growth and mid- to high single-digit operating leverage, that's based on ongoing operational improvement. And on top of that, we would deliver these -- this approximately $20 million of savings associated with restructuring and pension.
Ted Wheeler: And just lastly for me on the revenue. As you go into the new year, is January the month in line with sort of what you were talking about here, perhaps the low to mid-single-digit organic, and then we have to adjust for the 1 day?
Robert J. Eck: Hey, Ted, I don't think we're going to call out the month of January. We don't typically call out sales within months. But I can tell you that we were comfortable with the trend in the 3 weeks of the month. The first week of the month was slow, which is what we expected, because of the holiday timing.
Operator: And for our next question, we go to Steven Fox with Cross Research.
Steven Bryant Fox - Cross Research LLC: First question, just looking at some of the comments you already made about Enterprise in terms of potential improvements in technology needs, et cetera, I was wondering maybe if you could round that discussion out and talk about the impact of wireless in the building both from a positive standpoint for your business and maybe potentially also a negative drag relative to the horizontal Enterprise demand. And then secondly, just looking at all the mix issues you just talked about, I mean, I understand some of these are going to hopefully straighten out as the year goes on. Your margins, gross margins, have held pretty steady over the 3 last years in the 22%, 23% range and I'm just curious, if you looked out over the next couple years, do you see, with all the mix you're talking about, including Security, that, that range is still reasonable? Or could some of these product mixes actually drive your margins a little bit lower longer term?
Robert J. Eck: So let me start with the wireless question. And Steve, I think it's -- I'll take it in 2 pieces. And the first piece, I'll take the -- typically the Ethernet LAN wireless chunk. Basically, people have talked for as long as I've been in this company, I think, that, that was going to replace wiring the horizontal. And what we've seen is that typically the wireless network's an overlay network, and we aren't seeing any change in that trend. And honestly, if you do a highly dense Ethernet wireless LAN in a building with lots of people in the building, because it's actually a shared network, you have to put in lots and lots of access points with PoE devices, which can come through the manufacturer's switch, but enclosures and housings and a lot of wire going to those and wire bringing the data backhaul. So we've never seen that impact our business one way or the other, which then shifts me to the other part of the wireless space, which is the in -- what we refer to as in-building wireless. Some people refer to it as DAS for distributing antenna system. And that's the cellular delivery inside the building, and that's a new market if you -- it's a new market for us. It's a new market in the enterprise space. If you think about the shift from 3G to 4G technology, what happens is that the radio spectrum is different, the signals have to pass through building materials as effectively as 3G signals did. That drives a challenge in delivering the high data speeds people expect with 4G. And that's driving a new application, which is an additional network in the building, not a replacement network. And that's an additional network that brings cellular -- basically a cellular microcell inside the building that then communicates with the macrocell outside the building. And when we talk about in-building wireless, that's the market we're talking about. It's a growth market for us. We launched the initiative in the beginning basically of 2012. And so far, we're pleased with it. We're growing from a very small base. It's a market that's in flux, but it's coming our way in the Enterprise space. So we feel good about that. It's an opportunity for us going forward. But taking the second part, to talk about gross margin and do we think our -- what we've seen in the past is -- will be consistent in the future or will there be some of these new products that degrade the margin. I think we would suggest that the margin experience we've had over the past couple years ought to be pretty consistent going forward. I think we're -- we have this mix shift with Security right now and ECS, which has a lot to do with less data investment as opposed to a dramatic shift, which is going to change the market profile or the margin profile of that business.
Steven Bryant Fox - Cross Research LLC: That's all very helpful. And just one very quick follow-up to all of that would be, relative to margins and mix, if in-building wireless did take off, how would that fit into the mix question?
Robert J. Eck: It'll look very much like the data center or the traditional data infrastructure margin.
Operator: [Operator Instructions] For our next question, we go to Gary Farber with CL King.
Gary Farber - CL King & Associates, Inc., Research Division: I just had a question on your Wire & Cable business. Can you speak to what the pricing environment is or what the competitive environment is currently? And has it changed much in the last 2 or 3 quarters?
Robert J. Eck: So Gary, just to clarify, are you talking about our Electrical and Electronic Wire & Cable business?
Gary Farber - CL King & Associates, Inc., Research Division: Right.
Robert J. Eck: Okay. So the pricing environment actually had been pretty static for most of this year. As we got into the fourth quarter, we saw a little bit more price competition in some of the projects, and I think it's just the nature of -- in that market specifically, particularly in North America, an unconsolidated market with lots and lots of competitors, which when project availability gets a little bit tight, a lot of the competitors kind of revert to price-based competition. So we did see a little bit of pricing pressure in that market in the fourth quarter.
Gary Farber - CL King & Associates, Inc., Research Division: And just one other question. On the data market, you talked about having -- you've gone through several quarters where you haven't -- have growth and you expect it to sort of reverse. Just from the outside, is there anything that you're sort of watching as far as data points or indicators to sort of verify that you're ultimately going to be on that path to recovery?
Robert J. Eck: Gary, there's not a good outside indicator that you can look at to tie specifically to it. I think to me, the biggest indicator is the fact that we've gone so long with such a dead market. And in fact, that -- we believe the market declined in the high single to low double digits last year. We just don't see that trend exists for long periods of time. And I think we've had a lot of hesitation for corporations to spend capital dollars, and I think you saw it again in the December numbers. I think the December nondefense, non-aviation number released yesterday was 0.02 of a percent growth year-over-year, which to me is effectively 0. So in that environment, you just don't see much investment. You don't see that in IT drag on for long periods of time, and the reason is that there's more and more parts of a business that are digitized today than was true a decade ago. Mobile applications drive a lot of required new storage capacity as well as application servers. So you put all that stuff together and you basically say, if companies don't spend on IT for -- you get into 1.5 years-plus kind of a time period, at some point, they start straining against their infrastructure and they spend more. So that's how we're thinking about it.
Gary Farber - CL King & Associates, Inc., Research Division: But would you say then that the durable goods report is a reasonable thing to follow then?
Robert J. Eck: I think when capital spending comes back, IT will be one of the pieces that'll come back.
Operator: And with that, ladies and gentlemen, we have no further questions on our roster. Therefore, Mr. Eck, I will turn the conference back over to you for any closing remarks.
Robert J. Eck: Thank you. Responding to the ongoing uncertainty in the macro environment, we're focused on identifying key growth opportunities and increasing margins while aggressively managing our cost structure. Our track record of delivering solid results is a testament to our ability to respond quickly to marketplace changes as well as the result of a lot of hard work from the entire team. We believe we have attractive growth opportunities that we can capitalize on through our current business model and existing strategies and initiatives. We operate in large, growing, global and fragmented end markets that set up well for our business model. We are constantly seeking growth for products and service expansion, share gains, geographic expansion, excellence in execution and M&A. As we have demonstrated in the past, we will constantly evaluate alternative uses of capital, and we'll return excess capital to shareholders when we think that is the right use of funds. Thank you.
Operator: And ladies and gentlemen, this will conclude today's conference. Thank you for your participation.